Operator: Good day, and welcome to the LiqTech Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Robert Blum with Lytham Partners. Please go ahead.
Robert A. Blum: All right. Thank you very much. Good morning, everyone, and thank you for joining us today to discuss LiqTech's second quarter 2025 financial results for the period ended June 30, 2025. Joining us on today's call from the company are Fei Chen, Chief Executive Officer; and David Kowalczyk, the company's Chief Financial and Chief Operating Officer. Before I turn the call over to management, I do want to remind listeners that there will be a Q&A session at the end. [Operator Instructions] Before we begin with prepared remarks, we submit for the record the following statement. This conference call may contain forward- looking statements. Although the forward-looking statements reflect the good faith and judgment of management, forward-looking statements are inherently subject to known and unknown risks and uncertainties that may cause actual results to be materially different from those discussed during the conference call. The company, therefore, urges all listeners to carefully review and consider the various disclosures made in the reports filed with the Securities and Exchange Commission, including risk factors that attempt to advise interested parties of the risks that may affect our business, financial condition, operations and cash flows. If one or more of these risks or uncertainties materialize or if the underlying assumptions prove incorrect, the company's actual results may vary materially from those expected or projected. The company, therefore, encourages all listeners not to place undue reliance on these forward-looking statements, which pertain only as of the date of the release and conference call. The company assumes no obligation to update any forward-looking statements to reflect any events or circumstances that may arise after the date of this release and conference call. Now I'd like to turn the call over to Fei Chen, CEO of LiqTech International. Fei, please proceed.
Fei Chen: Thank you, Robert, and good day to everyone on the call. At a high level, we achieved improved financial performance across the board during the second quarter, including revenue growth, gross margin improvement and decreased operating expenses as we continued to execute on our key strategic priorities. In the second quarter, we achieved strong performance in our swimming pool segment, delivering 6 systems and generating nearly $800,000 in revenue. Further, the order flow for swimming pools looks strong as we enter the back half of the year. We also received an order for an advanced membrane-based filtration system to treat oily wastewater and delivered a new pilot system to our partner at Razorback Direct to address a new end market opportunity. These water system orders, coupled with 31% sequential growth in our ceramic and the plastics business combined helped drive the overall revenue improvement during the quarter. Beyond the strength of the second quarter results for the year, our revenue outlook anticipates continued year-over-year improvements in the third and fourth quarter with full year revenue expected to be at company's highest level in 4 years, dating back to the pandemic. I am certainly pleased with the progress made to date and expected over the rest of the year. In brief, this quarter is a little different than some of the previous quarters in that we really had solid operational performance across the board. Unlike the first quarter where we had the record oil and gas system order, the second quarter was much more balanced with contributions from water system deliveries, ceramics, DPF and the plastics. We obviously like this balance as something to build on for the rest of the year. One item I would like to mention is the order we received from North Star Bluescope Steel, a major U.S.-based steel producer. The system designed to resolve recurring filtration process upsets caused by the high oil content and the variability in wastewater quality is scheduled to be commissioned and begin operation in the second half of the calendar year 2025. That said, based on consultation with our accounting firm, we have mutually agreed moving forward that when orders exceed a certain threshold, we will record revenue on a percentage of completion basis. For the second quarter, we recognized about $200,000 for this project with another $300,000 or so to be recognized during the second half of the year. This practice should help to avoid wide swings and better align the balance sheet and income statement. This order is key for a couple of reasons. First, where crossflow filtration is the most sustainable wastewater treatment process. It comes with a major volume in to volume out challenge. LiqTech's ceramics-based system addresses this challenge we're adapting to ever-changing area and to beat water quality. The addition of LiqTech advanced wastewater pretreatment filtration supports North Star's broader water reclamation initiatives and reflects a growing trend in the steel industry towards more sustainable water management practices. This project demonstrates our growing traction in industry water treatment and our ability to contribute meaningfully to our customers' operational efficiency and sustainability goals. Another key order during the quarter was a pilot unit, which was sold to Razorback Direct. As most of you are aware, Razorback Direct has been a great partner for us in North America. In November 2024, based on the success of an earlier pilot unit at the customer site, we received a record-breaking commercial order from the oil and gas customer. That order has subsequently been installed this quarter at the customer site and is now in stable operations. This new pilot order also sourced through Razorback Direct is for a completely new customer in a different industry from oil and gas. I will withhold the industry's focus until further customer feedback occurs. -- but we are excited by the opportunity that it may present to us in the long term. Overall, we continue to make progress with multiple pilot projects underway that leverage our proprietary technology to address some of the most demanding environments. As the history of progress with Razorback Direct within the U.S. oil and gas industry highlighted, the first steps to new application success with our filtration systems often starts with a pilot level program. Recently, our pilot unit at one of the world's leading integrated energy companies has successfully completed. The positive results have resulted in that our ultrafiltration solution has been approved for the commercial application at this influential company. Beyond the various water for energy and industry applications discussed, we made very good progress during the second quarter within our swimming pool segment. As I mentioned a moment ago, during the quarter, we delivered 6 systems generating nearly $800,000 in revenue. This is a significant step-up from the past couple of quarters. Our team effectively leveraged our broad distribution agreements to source multiple new opportunities in the swimming pool market. As we look at the back half of the year, we believe the momentum within swimming pools will continue. Notably, we have recently received our first inquiry for a U.S. refurbishment pool project through our partner at NAF Aquatics. If we are able to formally secure this project, it would serve as a good reference for other U.S.-based opportunities in the future. Transitioning to our -- to other parts of our established markets, starting with DPF and ceramic membranes, where sales during quarter 2 were about $1.3 million, which was down from the year ago second quarter, but up nicely from $10 million during the most recent sequential first quarter. Order intake remains strong. We anticipate sustained positive performance for the remainder of the year. Within plastics, we saw a nice uptick during quarter 2 with revenue of $1.2 million, which was up year-over-year and sequentially. The plastic team continues to do a great job differentiating itself and is generally outperforming our expectations. Again, these 2 areas combined, ceramics and plastic were up 31% sequentially. One final area that showed nice progress was our aftermarket sales within the marine industry, driven by several membrane housing replacements. This growth was boosted by the China JV aftersales framework agreement we discussed in detail last quarter. In addition to aftermarket sales, we are advancing opportunities within our water treatment unit dual-fuel Marine segment. We expect to participate in the upcoming quarter 3 bidding process for water treatment units for dual-fuel vessels, presenting a promising opportunity for LiqTech. Further updates will follow in the coming months. So to recap, we really had a nice quarter across the board. 6 swimming pool systems delivered a new order from a U.S. steel producer, a new pilot system sought to address a new end market opportunity with Razorback Direct -- good performance from our ceramics and the plastic groups, incremental progress being made out of our Chinese GOA, numerous pilot and commercial programs underway, which we believe can drive broad large-scale orders across our segments in the future. As I mentioned at the beginning, for the year, our revenue outlook anticipates continued year-over-year improvements in the third and fourth quarters with full year revenue expected to be at the company's highest level in 4 years dating back to the pandemic. I believe we are well positioned to build up the success of recent pilot and commercial projects that handle the most challenging liquids across a variety of large-scale applications. We are strengthening our commercial position in established markets such as swimming pools, DPFs, ceramics and the plastics. Let me now turn the call over to David to review the financials in more details. I will then make a few closing comments and look to open the call for your questions. David, please.
David Nørby Foss Kowalczyk: Thank you, Fei, and good day, everyone. Let me take some time diving into the financial results in a bit more detail and add some color to what was in the press release. Let's start with revenue. Revenue for the quarter came in at almost USD 5 million, up from $4.5 million in the year ago first quarter and up from $4.6 million in the sequential first quarter. Broken down by verticals, sales for the first quarter were as follows: Water system sales and related services of $2.4 million compared to $1.9 million in the same period last year and $2.7 million in Q1 this year. Remember, we had the large record system sales during Q1 of this year to Razorback Direct. DPF and ceramic membrane sales were $1.3 million, down from $1.7 million in Q2 last year, but up compared to $1 million in Q1 as we see a nice rebound in orders. And finally, plastics revenue came in at $1.2 million compared to $0.9 million in Q2 last year and $1 million in Q1. Key takeaway for the quarter includes strong year-over-year improvement in Water Systems, driven by a combination of multiple swing pool orders, a portion of the industrial order for the steel industry and multiple ongoing pilot programs, continued growth in plastics and stabilization of DPF and ceramic membranes sequentially, but well off the year ago quarter, which included a few large deliveries. Looking ahead to Q3 of 2025, and as Fei mentioned, we anticipate revenue to be between $3.8 million and $4.2 million, which would equate to a 52% to 68% increase from Q3 2024. We are also introducing full year expectations with 2025 revenue to be between USD 19 million and USD 20 million which will equate to a 30% to 37% increase from full year 2024. Turning to gross margin. As we continue to be below our optimal revenue level, we continue to have fixed production costs that are not being fully absorbed and those lower than normalized gross margins. For the second quarter, gross margins were 9.8% compared to 16% in the year ago period. We are better compared to the 2.7% gross margin experienced during Q1 of this year. In Q2, we had a few one-off write-offs related to the closure of a loss-making project in the Middle East, sale of a pilot unit and currency effects on inventory lowering the margin. Adjusted for these one-off costs of $364,000, we would have had a gross profit margin of close to 15%. We have previously reported on a contribution margin basis, which excludes the impact from our fixed overhead. This margin for the quarter was significantly higher. We expect through 2025 to see the gap between gross margin and contribution margin to narrow driven by cost improvements and volume growth. Turning to OpEx. Total operating expenses for the quarter were $2.6 million compared to $2.8 million in Q2 of last year and compared to $2.3 million in Q1 of 2025. As we look to the future, our breakeven target measured on an adjusted EBITDA basis is at a quarterly revenue level of approximately $5.5 million to $6 million. Concluding on the P&L, net loss was $2 million for the quarter compared to $2.1 million for the comparable period of 2024. And finally, from a cash perspective, we ended the quarter with $8.7 million in cash, which compares to $10.4 million at the end of March. Everything else was pretty much in line with our normal operating procedures from a balance sheet perspective. With that, let me turn it back to Fei.
Fei Chen: Thank you, David. To close things out before I turn it over to questions, I see our proprietary silicon carbide filtration technology as a cornerstone for addressing some of the world's most pressing environmental challenges. Our advanced ceramic membranes offer unparalleled performance in treating the most difficult water purification applications from oil and gas produced water to swimming pool systems. By enabling industries to meet stringent regulatory requirements, we are reducing water usage and energy consumption. We are not only solving critical purification needs, but also driving sustainabilities. Our recent successes such as securing significant orders for produced water treatment as well as the steel processing industry in the U.S. and expanding our presence in the marine and pool filtration markets demonstrate the growing global demand for our solutions. The opportunity ahead is significant, driven by increasing water scarcity and strengthen environmental regulation worldwide. Through strategic partnerships such as our collaboration with Razorback Direct for oil and gas application, we are expanding our reach to deliver tailored turnkey systems. These collaborations amplify our ability to provide turnkey systems that not only ensure compliance, but also optimize production processes, protecting equipment and reducing operational costs for our clients. Looking ahead, LiqTech's vision is to be a global partner in creating a cleaner, more sustainable future. We are committed to innovating and scaling our filtration technologies to address these large opportunities. Again, thank everyone for your support of LiqTech. With that, Robert, we would be happy to take any questions.
Robert A. Blum: Wonderful. Thank you very much, Fei and David, for the prepared remarks. As I do have a couple of questions here, Fei and David. To begin, the first off here, can you discuss the area focus for the new Razorback pilot?
Fei Chen: As I mentioned in my speech, it's an area outside oil and gas industry, but it's an industry water treatment. And I would like to wait until we got positive customer feedback before I give more concrete information about the end market.
Robert A. Blum: Okay. Very good. Next question here. What does the approval of the pilot at the U.S. oil and gas industry application mean in terms of potential timing?
Fei Chen: It's a very, very good result for us because this is the world-leading integrated engine company. They have their fixed procedures to approve projects in their technology pipeline. And we have now got the highest grade. That means we are able to commercialize across the whole company. And I am optimistic we're going to see some very exciting results in the near future.
Robert A. Blum: Another question here. What timing do you think will be -- or what do you think timing will be for the bidding process in the Marine segment there that was mentioned?
Fei Chen: As I said in my speech, it will be in quarter 3. So we expect something is going to happen in the next 2 months.
Robert A. Blum: Okay. Very good. Next question here. It says so based on your full year guide of $19 million to $20 million and your Q3 guide of $3.5 million or $3.8 million to $42 million, that implies a Q4 run rate of $62 million to $66 million. First off, are my numbers correct? And secondly, does that mean you will be EBITDA profitable in Q4?
David Nørby Foss Kowalczyk: Yes. So definitely, we expect Q4, you can say to be a higher of the 2 quarters. Will we see an EBITDA positive? Again, we are guiding, you can say up to 6.5% for that to happen. It will be depending on mix. But for sure, the goal will be to reach an EBITDA positive quarter this year. but depending on mix and of course, the total sales volume happening in the quarter.
Robert A. Blum: All right. Very good. I am showing no further questions here. Fei, David, I will turn it back over to you for any closing remarks.
Fei Chen: Okay. I would like to thank everyone very much for being with us today. We look forward to communicating with you soon again. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.